Operator: Good day, and thank you for standing by. Welcome to the Slate Grocery REIT Second Quarter 2021 Financial Results Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded.  I would now like to hand the conference over to Jennifer Pyper, Investor Relations. Please go ahead.
Jennifer Pyper: Thank you, operator, and good morning, everyone. Welcome to the Q2 2021 conference call for Slate Grocery REIT. I am joined this morning by David Dunn, Chief Executive Officer; and Andrew Agatep, Chief Financial Officer. Before getting started, I would like to remind participants that our discussion today may contain forward-looking statements, and therefore, we ask you to review the disclaimers regarding forward-looking statements as well as non-IFRS measures, both of which can be found in management's discussion and analysis. You can visit Slate Grocery REIT's website to access all of the REIT's financial disclosure, including our Q2 2021 investor update, which is available now. I will now hand over the call to David Dunn for opening remarks.
David Dunn: Thank you, Jennifer, and thank you to all the participants for joining the call this morning. While the last 17 months certainly presented us all with novel challenges, there is no doubt that there are positive takeaways for our business as the pandemic fades further into the rear-view mirror in the United States. Both the public and private markets view of the grocery industry has changed, and for the better. It's now clear to all that grocery-anchored real estate, due to its critical nature and cash flow durability should be viewed as an asset class that is differentiated from broader retail.  First, I'll touch on some recent trends within the grocery industry. Mobility data from Apple shows us that Americans are walking and driving around this month at the highest levels since the pandemic began and their usage of various modes of public transportation has returned to 2019 levels. Even in a post pandemic environment, America's largest omnichannel grocers, who are also our largest tenants, continue to perform extremely well. Grocers have introduced a new metric, what they are calling 2-year stack sales, to compare their current year comparable sales versus pre-pandemic levels.  On that basis, the 2-year stack sales metrics for the most recent quarter for Walmart, Kroger and Ahold Delhaize were up 16%, 14.9% and 15.5%, respectively. And all 3 grocers increased their full year 2021 financial guidance. Put simply, grocers continue to experience elevated sales levels and there are broader trends in the food industry that give us conviction, this will continue. The food industry association recently completed a study identifying several interesting trends that point to grocers further increasing their share of wallet on food and essential spend. #1, post pandemic, people are more likely to cook at home for reasons associated with health, wellness and cost savings; 2, people are keeping higher inventories of food and essential items on hand at home; 3, American households are spending more on groceries now than they did before the pandemic, with 2021 weekly grocery spend up 17% versus 2020 and up 26% versus 2019.  These positive tailwinds will support continued capital investments by grocers in both their in-store infrastructure and their last mile fulfillment networks, which will, in turn, make our tenancies stickier and our real estate more valuable. Next, I will touch on our strategic acquisitions. We are on track to close our transformational 25 property acquisition in Q3. We have been working with our new joint venture partners since the transaction was announced in March. Our partners have already completed more than 65,000 square feet of new leasing with an incremental new leasing pipeline of roughly 60,000 square feet. These deals can add up to $1.7 million of annual base rent and more than 250 basis points of occupancy, both of which represent improvements relative to our initial underwriting.  For our $90 million portfolio acquisition completed in June of 2020, Slate's hands-on asset management approach has similarly enabled us to outperform the assumptions we made during due diligence, including, year 1 occupancy is up 360 basis points to 93.5%. Year 1 net operating income is up $900,000, which is equal to 11.6%. The projected IRR over the 5-year hold period increased by 500 basis points to 21.5%. We are proud to have opportunistically acquired more than $540 million of quality grocery-anchored real estate over the last 13 months. These acquisitions will support further net asset value and net operating income growth for the REIT, creating a compelling total return investment opportunity when combined with the upcoming organic growth within our existing portfolio. Lastly, I'll speak to our organic growth and ancillary revenue initiatives. Our portfolio's strong performance continued in the second quarter. Occupancy increased for the fourth consecutive quarter and now sits at 93.2%, representing a 100 basis point increase since the onset of the pandemic. Two anchor leases commenced rent payment in the quarter and 2 more are scheduled to come online in the second half of the year. The rent from these tenants and other recently completed lease deals will contribute $2.3 million of base rent in the second half of the year. Our team is also in the process of finalizing more than 90,000 square feet of new lease deals, which we expect will be executed within the next 30 days. Looking back, spreads on nearly 100,000 square feet of new leases completed thus far in 2020, have been a strong 10.5%. We're focused on completing deals with more essential tenants and have achieved net effective rents that are 10% to 15% above historical levels, meaning we are spending less capital to complete a lease transaction in today's marketplace.  Finally, we're making solid progress on our ancillary revenue initiatives that we introduced last quarter. Since the beginning of the program earlier this year, we've already executed contractual agreements that will generate $300,000 of net operating income on an annualized basis at no cost to the REIT. We are continuing to build out these initiatives and are targeting $750,000 and $1 million of recurring annualized net operating income by 2022 and 2023, respectively. In closing, we are pleased with the state of our portfolio and the strengthening fundamentals within the grocery-anchored sector as we put the pandemic behind us and drive our business forward. I continue to be grateful for the significant efforts put forth by our team at Slate asset management, and I'm excited to create additional value for our unit holders. On behalf of the entire Slate Grocery team, we wish you and yours good health, and we thank you for your continued support. I'll now hand it over for Q&A.
Operator: [Operator Instructions] And your first question comes from Li Chen of iA Capital Markets.
Li Chen: My first question is regarding rising cases of COVID from the Delta variant. So vaccination rates have slowed down in the U.S. and more and more, it seems that COVID could either become endemic or a seasonal thing. So just in regards to your nonessential tenants that are more sensitive to restrictions, so in the U.S., this seems to be more of a contentious subject, but have you had conversations as to how they would balance public safety and the freedom of choice regarding wearing a mask or social distancing?
David Dunn: I'm reading the same things. Our team is reading the same things that you are in the news. It's just-- it's simply not translating to an impact on our business. We were good partners with our tenants 18 months ago when the pandemic was first announced, and we worked together and we found a way to manage our respective businesses effectively. And right now, the economy in America is booming. GDP growth, they're looking at 9% annualized growth in 2021. Different states are approaching mask and the pandemic differently. But as it relates to our business, we don't see any challenges or concerns today. And we think America will sort it out just as they did effectively, 9 to 12 months ago.
Li Chen: And just last one for me. Just -- so regarding your ancillary revenue program, so I know this is still early, but can you comment what the long-term percentage target would be, like do you believe that could be a significant driver or contribute significantly more than 1% to your NOI?
David Dunn: We do. So right now, I mean, we're very pleased with the progress we've made. We had high hopes for this program as it's materialized over the last 6 months. But frankly, even management is impressed with the contractual revenue we've generated to-date. We felt, given the 2 drivers of ancillary revenue in our minds, was going to be 5G and solar panels on rooftops. 5G being, installation of antennas with telco providers, including AT&T, Verizon, Google, Amazon, et cetera, what was going to be the main source of revenue for us and we haven't done any of those deals, and we're already honing in on $600,000 of annualized revenue. So we felt compelled to talk about some targets and $1 million in 2023 is north of 1% on an NOI CAGR. The nature of these deals will be recurring, and we feel that we can compound that and grow it over time. Right now, we're comfortable with the $1 million target in 2023, and we'll be assessing as we continue to make progress.
Operator: [Operator Instructions] And your next question comes from Himanshu Gupta of Scotiabank.
Himanshu Gupta: So just first one, rent collections. How is the rent collection trending in June and July so far? And are there any category of tenants, which are still not paying?
Andrew Agatep: Yes, our collections continue at the same pace that we've seen since the start of the pandemic, which is about 97%. It's kind of creeping up higher to what we've seen. Most of our tenants remain in operation and continue to pay. So right now, we're not -- I'd say, maybe some of the restaurants is where we see a bit of the slow payers. But for the most part, our collections continue to be strong. This, with reference to our deferral program as we're on this topic, like we're now done. It's about $1.2 million that we've entered into, at the start of the second half of last year. And since this quarter, we've now completed. So to speak to David's point, there's positive sentiment around the U.S., operations are running smoothly, and we continue to collect on rent.
Himanshu Gupta: Okay. So I'm assuming the restaurants and fitness tenants are back to like pre-pandemic or closer to normalized collections now?
David Dunn: Yes. So gym operators are back open. They've been open for, I mean, since late last year, and we're seeing macro trends of retail spending, foot traffic, seated diners and restaurants, in excess of 2019 levels. There is no COVID AR that we're dealing with, as Andrew described, we're 100% collected on the deferrals that we entered into. If there were an area where we're working with tenants, it would be in the larger restaurant, the 5,000-plus square foot restaurant space. We have a limited exposure to them. There's a handful of them. They're catching up on rent that may have been lagging even pre-pandemic, and we're confident that we've addressed our bad debt provisioning appropriately. I'll note that the last 2 quarters, it's been at or below sort of our historical run rate, and we feel like provisions have been adequately provided for, and we don't foresee any major swings from what we've been seeing recently.
Himanshu Gupta: And then turning to the leasing environment for small shop tenants, obviously, we're hearing about an economic rebound. You mentioned about almost 9% GDP growth as well. Is all the economic rebound translating into better leasing environment as well from the landlord perspective?
David Dunn: Since January, we have seen a robust leasing environment. I spoke a little bit last quarter about the types of deals we're seeing, essential tenants taking advantage of recently vacated premises to maybe upgrade a position in a trade area or to add scale, maybe open a new store. We've been the beneficiary of that. There's no doubt, Himanshu. So that's the larger tenant set. As it relates to smaller tenants, they're also doing deals. I can't point to one specific, maybe trend, but restaurateurs, entrepreneurs are seizing the moment and opening restaurants. There's a $5 billion of stimulus in the marketplace right now from the feds, that's helping for sure. And unemployment is improving. One point I want to make is a trend that Morgan Stanley came out with a report couple of months ago, forecasting potentially up to 30% of enclosed malls may close in the coming years. And there are viable tenants in these malls and strip centers with strong positions in a trade area with good anchors stand to benefit. And if you're a mall tenant leaving a mall to go find another location with a more vibrant tenant mix, you're-- in likelihood, all likelihood you're paying more rent at an enclosed mall. You can come to a strip center and get higher visibility, you get signage on the street and above your front door, and you can have your customers park directly in front of the store. All of these are compelling in our mind. And we believe that this type of trend will drive future new leasing velocity for Slate Grocery REIT as well.
Himanshu Gupta: And then just turning on to the acquisition side, how is the acquisition pipeline looking? And what are you seeing in terms of valuation or capital trends in the near term?
David Dunn: So we're always looking out for deals that are mispriced in the market. So whether we're buying deals on a portfolio basis from another REIT who's winding down a joint venture or we're buying a business from a market participant like Annaly. We've been very creative in sourcing deals, and they're mispriced based on the purchase price. So we're always looking at deals. Sentiment in the market right now has probably never been stronger for stabilized grocery-anchored real estate, and across America, but specifically in the southeast. So I'll point you several transactions that speak to strong demand and increasing values, and we've talked about this in the past. But obviously, Kimco Weingarten which is a mid-5 cap transaction, PECO, which is Phillips Edison & Company, just IPO-ed their about $300 billion market cap at $175 a foot, which is higher than our price per pound, which was $144 a square foot. And the most compelling trade and we think is the most like our portfolio, is a BentallGreenOak's portfolio that's in the market right now. And assets, many of the trade areas and markets overlay with the Slate Grocery portfolio, $500 million. Guidance was a mid-5 cap. And what we're hearing from brokers and then on the street is that activity has been very strong and interest has been strong, and the expectation is that that will trade inside of a 5-- probably closer to a 5 cap. So all those are examples of strong velocity and interest in grocery-anchored strip centers, and we like where our position is today, certainly.
Himanshu Gupta: Thanks for timing out those transactions and especially the BentallGreenOak which is in the market. And maybe just last question from timing perspective, when do you close the Annaly transaction? I mean, I know you mentioned Q3, but do you have any sense of more precise timing here from a modeling perspective?
David Dunn: Right. You probably saw the press release on Monday. The other component of the transaction closed. They were always separate and distinct, and we're going to close at a different time. So from our standpoint, Slate Grocery REIT is ready to go. The nuance with our bucket of assets is, it requires consent from CMBS lenders, and that historically takes a little longer, hence, the delay. So we're confident it will close in Q3, very confident. And we're hopeful that it's August. But again, we're working diligently with the lenders. But to a certain extent, we are-- they will dictate the speed at which we close.
Operator: Your next question is from Sumayya Syed of CIBC.
Sumayya Hussain: Just on the pending portfolio acquisition, obviously, you've achieved some occupancy gains there. Is there still some upside there remaining in terms of occupancy? And if so, when do you think you can get there?
David Dunn: So we purchased the-- our year 1 occupancy for the Annaly, 25 asset transaction was just a shade under 90%. So lots of legs to add value at occupancy. We didn't assume any occupancy gains until year 3. So to have already secured a few hundred basis point lift in occupancy, which is obviously adding NOI before we even close, is a very good place to be. So we have been working with since, virtually the day after we firmed up the transaction with our new JV partners. As I've alluded to in some of my messaging, we really enjoy working with them. They're like minded. They're strong operators. And they have been very open in sharing information with us. And we do transactions in a similar manner. So yes, we think there's incremental legs to grow it, and we're going to be tracking our performance specifically relating to underwriting on the $540 million of acquisitions we've made in the last 13 months, and we'll be pleased to update the markets every so often. But the answer to your question is absolutely yes. We're striving for 95% occupancy, which would be stabilized basis.
Sumayya Hussain: And then on the Grand Lake acquisition, at a discount to replacement cost. So on a stabilized basis, what would that valuation look like?
David Dunn: So I'll make a few comments on that. This was another-- so it pales in comparison to the portfolios we purchased, a single asset at $8.5 million, but we love this deal. It furthers our relationship with Kroger, who is a valued partner for Slate Grocery REIT, sale-leaseback transaction in Indianapolis MSA, which is a 31st MSA-- largest MSA in America. The basis is $81 a square foot, and the occupancy is 85%. So I kind of think of this deal as a, call it older school Slate Grocery transaction, where we can add real value in lease-up and stabilizing occupancy. And we know we can do that because when Kroger had a change of their strategy, and they were letting leases expire in order to reposition the asset. So there is going to be interest from co-tenants with a new 15-year Kroger lease. And when they reposition their store, we believe we can partner with them to drive value for the asset and lease it up expeditiously.
Sumayya Hussain: And then, you touched on the Kroger relationship. I don't know how much you can comment on their strategy, but what does that pipeline look like in terms of opportunities for Slate?
David Dunn: We talk to our key-- we talk to a lot of our tenants on a regular basis, but we make a point of going to see in-person, our biggest grocer tenants. That builds relationships. It builds trust. And we're looking forward to continuing to grow with Kroger. I'm not going to speak to their strategy. That wouldn't be appropriate. But I can say that if there are opportunities to grow together, we believe we're going to get an opportunity to do so. We've been able to secure these types of deals with other tenants, not only Kroger, in the past. And we've been focused on transformational growth off-market portfolios, but there's always going to be an opportunity to talk to our key grocers and expand our relationships with them.
Operator: We have no further questions at this time. I will now turn the call back over to Jennifer Piper for any additional or closing remarks.
Jennifer Pyper: Thank you, everyone, for joining the Q2 2021 conference call for Slate Grocery REIT. Have a great day.
Operator: Thank you. This does conclude today's conference call. You may now disconnect.